Operator: Good morning, everyone, and welcome to Hillenbrand's Earnings Teleconference for the Second Quarter of Fiscal 2014. A replay of this call will be available until midnight, Eastern Time, Tuesday, May 20, 2014, by dialing 1-855-859-2056 toll-free in the United States and Canada or 1-404-537-3406 internationally and using the conference ID number 30133997. This webcast will be archived on the company's website at www.hillenbrand.com through June 6, 2014. If you ask a question during today's call, it will be included in any future use of this recording. Also note that any recording, transcript or other transmission of the text or audio is not permitted without Hillenbrand's written consent. At this time, it's my pleasure to turn the conference over to Joe Raver, Hillenbrand's, President and Chief Executive Officer. Mr. Raver, please go ahead.
Joe Raver: Thank you, Laurel, and good morning. I appreciate you joining us this morning for our discussion of Hillenbrand's results for the second quarter of fiscal 2014, which just ended this past March 31st. I'm joining in the prepared remarks portion of the call today by, Elizabeth Dreyer our Chief Accounting Officer and ‎Interim CFO, Chris Gordon, Director of Investor Relations is also with us here today. And then during the Q&A portion of the call, we will be joined by Thomas Kehl, President of Coperion, and Kim Ryan, President of Batesville. Prior to getting started, I'd like to briefly remind you that during the call we may use certain forward-looking statements that are subject to the Safe Harbor provisions of the securities laws. These statements are not guarantees of future performance, and our actual results could differ materially. Also during the course of this call, we will be discussing certain non-GAAP operating performance measures. I really encourage you to take a look at our 10-Q which can be found on our website for a deeper discussion of forward-looking statements, the risk factors that could impact our actual results and more information on our use of non-GAAP operating measures and the reconciliation to GAAP financial measures. Before we get into the results and segment performance discussion, I want to take a few seconds to remind you of our overall strategy. If you followed us for a while, you know we have a pretty straight forward strategy that is to leverage the strong financial foundation of Batesville, acquire good business in growing markets and make them better to the application of Lean, account development and strategy management. As we've executed this strategy over the past several years, we've completed a number of acquisitions that have transformed Hillenbrand into a global diversified industrial company. And today we participate in a number of large and growing end markets all around the world. Our largest and most recent acquisition Coperion is now operating effectively within the Hillenbrand infrastructure and is progressing nicely with the subsequent integration of K-Tron. Now let me turn to the results for the second quarter. I will talk mostly about how we preformed compared to expectations and Elizabeth will spend more time discussing results compared to prior year. As you saw on the release last night, revenue for the quarter was relatively flat and lower than we expected. I'll get into a bit more detail in a second, but on a high level on the Process Equipment Group side of the business, orders were strong as indicated by a record level backlog. However, the timing of large orders dropped lower than expected revenue. And on the Batesville side of the business, the burial casket market was down more than we had expected. Despite lower than expected volumes, our margins were inline with expectations and adjusted EPS was higher than we anticipated due to other income gains that will be covered in more detail later in our prepared remarks. Now let me turn the discussion to segment performance and continue with the Process Equipment Group. As you know, our strategy in this segment is to expand globally, penetrate underserved end markets and grow on the top and bottom line by applying Lean in all aspects of this business. The global expansion efforts are going well, Rotex and TerraSource are both leveraging Coperion facilities in India and Russia to warehouse parts and their bookings some nice orders in these locations. Coperion and K-Tron are working well together in North America where the petrochemical and polyolefin markets are strong. Europe's economy has been steady in the last couple of quarters with some improvement in bookings there mainly driven by Germany and like everyone else, we're seeing some slow down in China. Just a quick note about the conflict between Russia and Ukraine, we're monitoring the situation from a few different perspectives including making sure that we're in compliance with all U.S. and easy sanctions, we're accessing the impact on large projects in the region and generally we're monitoring the impact on the regional economies there. Revenue in the Process Equipment Group was up about 5% compared to the prior year but as I mentioned earlier, it was lower than we expected due to the timing of large orders. You can see by the sizeable increase in backlog that we ultimately received a number of large orders during the quarter particularly from North American shale gas projects but they were later than plants and therefore generated less revenue during the quarter. As a reminder, we use percentage of completion accounting for these types of orders, so the timing of orders can have a large impact on revenue. Despite lower than expected volumes, gross margin percentages were inline with the expectations and we continue to focus on operational improvements to drive bottom line performance. As we look out to the remainder of the year, overall market conditions are positive, and while our ability to continue to close large orders of the last two quarters will have an influence of year end results, we believe that we're pretty well positioned for the back half of the year given our record backlog. Let me now turn to more detail to the Batesville segment where record high number of North American death last year made for a very tough comparison to the current year. You may remember from our last call that we expect the Batesville performance in the second quarter to be lower on a year-over-year basis driven by decline in burial rate and lower deaths compared to last year. Overall, just came to past and based on other public reports, we believe the market was down even more than we had expected the last time we talked. Consequently, revenue for Batesville was down about 8% for the quarter on a year-over-year basis. While Q2 is historically Batesville largest quarter, the year-over-year performance can vary significantly depending on the severity of the flu and pneumonia season. Here in North America, the flu season was fairly active this year. However, it primarily affected the younger population and therefore led to fewer deaths. Although we can't control the number of deaths in a quarter, we can control our actions internally and in the marketplace. Despite lower volumes, Batesville delivered an adjusted gross margin of 40% this quarter. This is a result of great work by the Batesville team and again demonstrates the value of lean initiatives across the company. As a reminder Batesville has a business that requires a relatively low CapEx investment. And with the management team focused on managing working capital, Batesville continues to consistently generate significant cash to support the execution of the Hillenbrand strategy. I'll close my comments about the Batesville business by reminding you that the longer term trends for Batesville, so that healthcare continues to improve and people are living longer. The demographics of an ageing generation of baby bloomers are expected to be a positive factor in the future. However it continues to be in possible predict with any measure of certainty, what's in store for the North American death rate in the near to medium term. Batesville continue it's execution of Lean and aggressively right size the organization, while at the same time it's staying flexible enough to meet the customers changing needs. Looking forward, we anticipate variable volume to stabilize during the second half of the fiscal year, which will produce more consistent year-over-year results. We also expect Batesville continue generating strong cash flow and solid financial results. Now, I'll turn the call over to Elizabeth Dreyer, our Interim's CFO, for a bit more financial detail. Elizabeth?
Elizabeth Dreyer: Thank you, Joe. As we reported in our filings yesterday, consolidated revenue of $397 million for the second quarter was relatively flat year-over-year, with 5% growth generated by the Process Equipment Group and an 8% decrease for Batesville. Adjusted EBITDA grew 8% to $69 million with about $2 million of that increase coming from the Process Equipment Group and about $11 million coming from other income gains in the quarter that I will discuss a bit later. These gains in the Process Equipment Group EBITDA growth more than offset the impact of lower volumes in the Batesville segment. The Process Equipment Group delivered $240 million of revenue in the quarter, representing 5% growth or 3% on a constant currency basis. Given our purchase at Coperion in December 2012, this was the first quarter, where we have a prior year comparison then have a full three months of operations. Looking at the businesses that comprise this group, we saw growth across the board. As Joe mentioned earlier, our order backlog at the end of the quarter reached an all time high of $717 million, representing a $106 million sequential increase over the first quarter and a $173 million increase over the prior year. Orders were strong across the group this quarter but in particular at Coperion. Given the visibility into revenue provided by our order backlog, we continue to expect the Process Equipment Group to deliver mid-single digit, organic revenue growth this year. During our last couple of earnings calls, we shared with you that we expect Process Equipment Group revenue to be the highest in the fourth quarter this year and I want to confirm that this is still our expectation based on our projections. Remember that this business is comprised of large systems, equipments, replacement parts, components and service. Future revenue for this group can be heavily influenced by the timing of order placement. In particular, the timing of when large systems bookings are finalized are very much driven by customer requirements and can shift both forward and backward. Turning now to Batesville, revenue for the quarter was $157 million, down about 8% from the prior year or 7% on a constant currency basis. The decrease was due to lower variable volume driven by significantly fewer North American deaths compared to the prior year. Hillenbrand's consolidated growth margin dollars increased by nearly $9 million but were relatively flat on an adjusted basis. As a percentage of revenue, adjusted growth margin was 36%, which was consistent with the prior year. Despite the volume decline at Batesville in the current quarter, the team delivered a strong 40% adjusted growth margins to 30 basis points below last year during the very high volume quarter. The Process Equipment Groups adjusted growth margin was consistent with the prior year at 33%. As I mentioned earlier, there were three events this quarter that resulted in nearly $11 million of other income gains. Two of these events related to investments, we received at the time of our spend from our former parent company. First we had a 5 million gain from our exercise of warrants related to Forethought, a company that was acquired by a third-party in January. We discussed this during our last earnings call and shared that the gain was expected at the time we established guidance and is included in our estimated earnings range. The second item was the $3 million gain related to our limited partnership investments. Although this quarter we experienced the gain, we have also had similar sized losses in the past. We have consistently accounted for these gains and losses over the years and have not adjusted for them in the calculation of adjusted net income. Currently we have about 12 million of limited partnership investments remaining in our portfolio compared to the nearly 30 million that we started with at the time of the spend from our former parent company. The last item was a 3 million gain related to our payment received in connection with the cancellation of the service agreement with one of our customers at Batesville. Turning to our tax rate, our second quarter adjusted effective tax rate was 29.3% which was consistent with last year. Operating cash flow was $82 million for the first half of the year, more than four times higher than the same period last year. The increase was due to higher net income and significant improvement in working capital particularly at Coperion. During the quarter we returned over $12 million to Hillenbrand shareholders in the form of quarterly dividends. As we disclosed in our 10-Q filed yesterday, we bought back about 527,000 shares of our common stock during the quarter for about $70 million. As we have discussed in the past, we repurchased shares from time to time principally to offset the dilutive effect of equity compensation. Looking at our bottom line results for the quarter. Net income increased to 160% to $33 million over the prior year resulting in diluted earnings per share of $0.51. The increase was driven by lower acquisition and integration cost related to Coperion in the current year. On an adjusted basis, net income increased 12% to $34 million, resulting in adjusted diluted earnings per share of $0.54. The increase was driven by the gains discussed earlier and increased profitability in the Process Equipment Group, which more than offset the impact of lower volumes at Batesville. Adjusted EBITDA is an important measure we use to monitor our ongoing operating performance since it removes the impact of amortization and interest, which naturally result from our acquisition strategy. Adjusted EBITDA increased 8% to $69 million over the second quarter of the prior year. Adjusted EBITDA as a percentage of revenue increased by 130 basis points to 17%. Our overall adjusted EBITDA percentage was expected to increase overtime as the integration of Coperion continues and the results of fully implementing Lean are realized. Turning to guidance. We are affirming our full year 2014 guidance. We continue to expect revenue of approximately $1.7 billion for the year, and given current exchange rates, minimal translation impact to revenue when compared to 2013. Revenue from the Process Equipment Group is expected to be approximately $1.1 billion and Batesville have anticipated to deliver approximately $600 million in revenue. As we shared with you in November, adjusted EPS is expected to range from $2 to $2.10 and we continue to expect the fourth quarter to be our largest quarter of the year. Now I'll turn the call back to Joe for his concluding remarks.
Joe Raver: Thanks, Elizabeth. As I said earlier, we are encouraged by our strong backlog and despite lower than expected revenue, gross margin and cash generation was strong for the quarter. As we look forward to the second half of the year, we expect to see the burial market return to a more normal level and we remain focused on closing additional large orders in the Process Equipment Group. Our goal is to increase revenue and profitability and our focus continues to be on strong cash generation that improves our balance sheet, provides an attractive dividend, and enables us to execute our strategy. We remain committed to providing a meaningful value to our shareholders. This concludes our prepared remarks for today's Q&A session. We are joined by Batesville President, Kim Ryan; and Coperion President, Thomas Kehl. We're ready to take your questions. Laurel, would you please open the lines?
Operator: Thank you. (Operator Instructions) Your first question comes from the line of Daniel Moore with CJS Securities. Your line is open.
Daniel Moore - CJS Securities, Inc.: Good morning. Thanks for taking the questions.
Joe Raver: Hi Dan, good morning.
Daniel Moore - CJS Securities, Inc.: Could you perhaps elaborate a little bit Joe on the increase in backlog? Obviously you mentioned North America shale gas, petrochemical, polyolefin, how much of the roughly $100 million increase in backlog came from those types of projects and what were some of the other drivers of increased backlog in the quarter?
Joe Raver: We've had really strong backlog performance across all the businesses, all the lines of business. So it's not just in one area the Process Equipment Group. Clearly the big jump due to some of the larger projects that Coperion book, like generally demand is pretty solid across the entire group. We don't break it out by specific, I mean we don't provide that amount of detail by specific projects but we did close that number of good sized projects in Coperion which led to a good chunk of the increase, but again it's up across the board.
Daniel Moore - CJS Securities, Inc.: And as we look forward are there any, - obviously there is been sort of lumpiness over the last year or so in frac sand and some others, are there any pieces the process couldn't business, that you expect to continue to be a drag, or are you seeing growth as we go forward across the board, as you mentioned?
Joe Raver: We've seen pretty good growth across the board. Interestingly frac sand well, it's not newly what it was. We've actually had some, - that market has actually picked up a little bit as natural gas prices have gone up a bit. So it's been pretty good across the board. Because of the size of the Coperion projects though, we will still see lumpiness as you saw this quarter with a big increase compared to the last quarter. So we'll still see some lumpiness just because those projects are so big relative to what I guess historically the Process Equipment Group, the kind of project we booked prior to the Coperion acquisition.
Daniel Moore - CJS Securities, Inc.: Any color on how much of the 700 million plus in backlog you would expect to flow into revenue for the remainder of this year?
Joe Raver: That's a good question. So in the non-Coperion businesses, it depends on the project but typically a chunk of that backlog flows through in a couple of quarters. So we will see quite a bit of the non-Coperion backlog hit this year. On the Coperion side, it's a slightly different story in the sense that we use for the big projects, we use percentage of completion accounting, and so we start to see that backlog come into revenue pretty quickly, almost immediately after its booked we start to see that revenue come into backlog. So, a good chunk of that revenue backlog comes into revenues this year as well as they work on those projects. I don't have the specifics of exactly how much of that backlog works through in the current year. But because of the large projects being on percentage of completion accounting, it's a good chunk of that backlog works through this - in a few quarters.
Daniel Moore - CJS Securities, Inc.: And in the past you talked a little bit about some of these large polyolefin projects, obviously still being there but being pushed out a little bit. Is there anyone that you can point to specifically that is accelerating process or is it just a function of timing and the trends are kind of similar to where they were six to 12 months ago?
Joe Raver:
(indiscernible) 21:21: The only other comment I would make on backlog where we're talking about is, the margins we look at the gross margins inside the backlog and they are really consistent with what expectations are. So that's a positive sign in the sense that the backlog is not only growing but its growing with the kind of margins that we expected it to grow with.
Daniel Moore - CJS Securities, Inc.: Very helpful. Elizabeth, maybe you talked about each of the gains. I just want to clarify that the LP related gain is excluded from your full year guidance, is that correct?
Elizabeth Dreyer: Right. Those LP investments that we intuited from our former parent company, they are past investments so we were notified of gains or losses so that was not included in our guidance but is included in our results from both an adjusted basis and a GAAP basis.
Daniel Moore - CJS Securities, Inc.: Okay. So it's included in your adjusted results? And will be - it wasn't projected but it will be included when you - that won't be excluded when you report your sort of full year adjusted numbers?
Elizabeth Dreyer: That's exactly right.
Daniel Moore - CJS Securities, Inc.: Okay. Same holds for EBITDA. And then last question, given the increase in backlog, given $0.05 or $0.06 of sort of incremental gains relative to what you had expected, is the higher end of the range of guidance still more achievable or just too earlier to tell at this stage?
Joe Raver: I think we're right kind in keeping the range of $2 to $2.10, clearly the second quarter was not what we expected in terms of revenue, we had lower revenues than we had expected the last time we talked largely because of the timing on those big projects. And subsequently we had hoped for higher EPS this quarter, we got the benefit of couple of onetime gains that we did not expect. So I think that's how I think about the model, your model going forward.
Daniel Moore - CJS Securities, Inc.: I'll jump back to queue. Thanks again.
Operator: Your next question comes from the line of John Franzreb with Sidoti. Your line is open.
John Franzreb - Sidoti & Company, LLC: Just a clarification. Your guidance - your EPS guidance includes or doesn't include the all the onetime gains that you recorded in this quarter?
Joe Raver: When we affirm guidance, it's included - those results are included in our affirmation of guidance.
John Franzreb - Sidoti & Company, LLC: Okay.
Joe Raver: The LP gains as an example, so the Forethought gain was we consider that when we set guidance.
John Franzreb - Sidoti & Company, LLC: Right.
Joe Raver: The LP gains, we don't - we will always plan for zero on those and then they either go up or they go down, we include them in our adjusted results but we did not consider that way comes to guidance. So that would be a benefit in our reported results that we did not have built into our guidance, did not expect it at the beginning of the year.
John Franzreb - Sidoti & Company, LLC: But now its part of?
Joe Raver: Its part of our adjusted earnings EBITDA going forward.
John Franzreb - Sidoti & Company, LLC: Got it. Okay.
Joe Raver: Is that clear?
John Franzreb - Sidoti & Company, LLC: Yeah, I think I got it. So Joe, that kind of suggest that the margin profile that you're originally anticipating, isn't playing out in process that you thought in the beginning of the year. What part of the margin profile isn't performing up to your original expectations?
Joe Raver: So I don't think that's exactly right. As you can see in the quarter, we were down compared to what we expected pretty significantly on the revenue side, on the Process Equipment Group. And if you just kind of let that flow through at a normal EBITDA margin, you would see that we're from a margin perspective, we're in a line of what expected on the margin side, the Process Equipment Group, gross margin percentage was up about 50 basis points on a year-over-year basis. And so, margins are where we expect them, it's really; it's the revenue mix that we experience here in the second quarter that's driving the impact.
John Franzreb - Sidoti & Company, LLC: But, Joe, you haven't changed your revenue expectation for the full year on process?
Joe Raver: That's right. So, if you think about our guidance on the revenue, from the revenue perspective, we guide to just about $1.7 billion and so there's obviously range in there and so we still believe we'll be in that $1.7 billion range.
John Franzreb - Sidoti & Company, LLC: Right. That was just about $6 million shy, and on the up income side. Okay, we can take this offline.
Joe Raver: No, yeah. But we expect to be in the range of $2 to $2.10 and margins are inline with expectation. So, maybe we need to take this offline to make sure we're talking about the same thing.
John Franzreb - Sidoti & Company, LLC: Okay. One other question, two questions actually. The seasonality, of course significant seasonality that we're seeing in process, where most of the revenue falls into the fourth quarter, is that something we should expect on a ongoing basis in future years or is that a onetime event that we're seeing in 2014?
Joe Raver: But, John, there are two thing to play into that. One is the timing of projects and how they fall. And then the second is, some significant part of that is driven by compensation systems and people trying to hit numbers for the year. And so, we've seen that historically in all the businesses. We've seen the fourth quarter, an increase in the fourth quarter but that isn't a guarantee that it'll happen that way in the future. We do expect the fourth quarter to be our largest quarter this year and again, it's driven by two things. It is the timing of projects but it's also, it's our fiscal year end and the sales teams and operational teams, look at hitting the year, there just tend to be this natural flow of more volume into that fourth quarter.
John Franzreb - Sidoti & Company, LLC: Okay. The percentage of spare parts, after market parts that was part of process in this current quarter, how did that compare versus a year ago?
Joe Raver: I don't have the detail in front of me, in terms of, let's say the percentage of parts in service revenue, as a percentage of the entire revenue of the profits equipment group.
Elizabeth Dreyer: Spent around 30% on the parts and service.
Joe Raver: Yeah, John. I'll tell you there was nothing unusual during the quarter that comes to mind. We had, it's probably a bit higher because part of the revenues shortfall that we expected it's really that’s on the capital side of the business, the project side of the business. So it's probably up a little bit and that will move around a bit because the service revenues are pretty steady and then again you get on the capital equipment side it goes up and down a little bit. But its probably, I think it's around there in the 30% range but we'll check that number and get back to you.
John Franzreb - Sidoti & Company, LLC: Okay. And just one last question, I got a housekeeping item. Are there any other non-recurring items we need to anticipate in this quarter, coming quarter or for that matter the balance of the fiscal year?
Joe Raver: No, not I'm aware of.
John Franzreb - Sidoti & Company, LLC: Promise?
Elizabeth Dreyer: We are always - there is always the option that we would have LP gains and losses. If you look back over our history, there have been - we've separate our share gains and losses. So that's always something that could occur in the last half of the year.
John Franzreb - Sidoti & Company, LLC: Can you just give me the context of the sizeable losses you had in prior year?
Elizabeth Dreyer: If I recall I think it was up to $5 million of loss that's about the largest that we had.
Joe Raver: Yeah. But remember, I don't know exactly when that happened, but we used to have about these things kind of roll-off over time. So we used to have about twice as many, twice as much value in the LPs as we do today. They will continue to warn down over the next few years.
John Franzreb - Sidoti & Company, LLC: Okay. Thank you very much. Thanks for taking my questions.
Operator: Your next question comes from the line of Steve O'Neil with Hilliard Lyons. Your line is open.
Stephen A. O'Neil - Hilliard Lyons, Research Division: Thank you. My question was answered.
Joe Raver: All right. Thanks, Steve.
Operator: (Operator Instructions) Your next question comes from the line of Clint Fendley with NewBridge Group. Please go ahead.
Clint Fendley – NewBridge Group, Inc.: Thank you. Good morning, everyone.
Joe Raver: Good morning, Clint.
Clint Fendley – NewBridge Group, Inc.: First question, I was just wondering with Kim, obviously there were some tough comps for the quarter. I know some of the other service providers have seen some spikes in the cremation rate during the quarter. Is that something that you guys have disability into given some of your options products?
Kimberly K. Ryan: It is Clint. We can see that the cremation rate is slightly higher than we experienced in prior year about 30 basis points higher running year-to-date than what we had seen in prior year and that coupled with a down death market or a down burial market obviously those two things create a pressure for all the providers.
Clint Fendley – NewBridge Group, Inc.: And Kim part of the gross margin impact in the quarter was due to your supply chain cost reduction initiatives. Could you just provide any color on that and what stage you guys have - on those initiatives?
Kimberly K. Ryan: Sure. As you know, you've been familiar with us for a very long time. We have both manufacturing initiatives as well as distribution initiative that get rolled up in those supply chain efficiencies. We've had a number of ongoing initiatives around distribution efficiency, things like where warehouses are located, footprint, inventory levels, how we run our fleet in terms of the delivery mechanisms and we've seen, we've had an ongoing projects, we're in about year two of that project that has affected about 20 of our service centers in terms of how we have been able to increase efficiency in those service centers and how we deliver that's delivered great value for us. In addition to that, we've seen improvements in our performance both in our Chihuahua manufacturing facility, as well as our Manchester manufacturing facility. Manchester has been the largest contributor on that and they are largest steel cascade manufacturing plant located in Tennessee and we've seen some really nice year-over-year improvements in efficiency and consistency at about manufacturing facility this year.
Clint Fendley – NewBridge Group, Inc.: Right. Thanks Kim. Last question here for Elizabeth, I'm wondering on a $5.2 million on Forethought. How many other outstanding ones do you guys have related to this?
Elizabeth Dreyer: None. So that was the last remaining investment we had related to Forethought. If you recall couple of years ago, we collected on the new - this was warrant and then we don’t have anything further from Forethought.
Clint Fendley – NewBridge Group, Inc.: Excellent. Thank you.
Operator: Your next question comes from the line of Daniel Moore with CJS Securities. Your line is open.
Daniel Moore - CJS Securities, Inc.: Thank you again. Just wondering trends monthly in the - as far as Batesville is concerned what you're seeing in April if you're seeing that normalization already?
Kimberly K. Ryan: Dan, its Kim. We are not yet seeing the market comeback from a year-over-year standpoint. We've been tracking it itself for probably 30 years. So, typically when you see a tougher path, you'll see the second half bounce back a bit. We haven't seen that - we've seen it come up some, from what we saw in Q1 and Q2 but not that too normal year-over-year levels of exactly. So, overtime it all works out to that normal kind of 2%, we're expecting that it'll continue to normalize over the back half of the year. So, we continue to expect that. April wasn't the silver bullet, kind of bounce back up over the top but it's certainly on a trend that is coming back up and we're expecting to see more normal year-over-year results compared to what we have seen for the last 30 years as this continues to roll through the year.
Daniel Moore - CJS Securities, Inc.: Very helpful. And then lastly Joe, just wondering any update, obviously you would have announced it, but in terms of the progress on the search for permanent CFO.
Joe Raver: As we talked about last time we've retained very well known search firm to help us, we've seen a number of really great candidates. And it's very high priority of mind to fill that position. So, as soon as we have some concrete news on that, we'll certainly let you know and I'm looking forward to the day that we can let you know.
Daniel Moore - CJS Securities, Inc.: Indeed. Appreciate very much.
Joe Raver: Thanks Dan.
Operator: You next question comes from the line of Rich Glass with Deutsche Bank. Please go ahead.
Rich Glass - Deutsche Bank: Hi guys. Following up on Dan's questionnaire, at least can you give us any timing what you expected to be this quarter in terms of the CFO search reaching some sort of conclusion?
Joe Raver: As I said earlier, we're active in the search. We have a number of good candidates. I think of these a little bit - sometimes this is little bit like selling a house. It takes the right buyer and the seller to come together on a single day and it can happen really fast and sometimes it can take a little while. But this is such a critical position that, I want to make sure that that we get this right and get the best candidate that we can get. Elizabeth is doing a great job on a interim basis. She and her team and so, again, we'll make sure that we get the right candidate in place. We feel like we got a really good team in place right now and we're covering the situation quite well. So, as I said earlier as soon as we have something to tell you, we will certainly let you know.
Rich Glass - Deutsche Bank: Yeah. I appreciate that, but you guys need to buy the house already. I mean, this is going on for a little bit longer than, it seems for most public companies, I'm not sure exactly why it's, it takes so long. Following up on the Process Equipment Group, can you talk about the linearity of that quarter and what April looked like? - top line order if you want to talk about.
Joe Raver: I think from a top line perspective, revenue perspective as we looked at April, it's built in the guidance as kind of, as we expect it to be as we look forward. So, I guess that the question is, is there any big surprises in April from a top line perspective. We haven't seen any big surprises in consistent with what we're expecting going forward.
Operator: (Operator Instructions) There are no further questions. I'd like to turn the call back to Joe Raver, for concluding remarks.
Joe Raver: Thank you. And I'd like to thank everyone for joining us on our call today. If you have further questions, you can contact Chris Gordon, our Director of Investor Relations. And we look forward to speaking to you again when we discuss third quarter results in August. Thank you everyone. Have a good day.
Operator: This concludes today's conference call. You may now disconnect.